Operator: Good morning. My name is Heidi, and I will be your conference operator today. I would like to welcome everyone to the Insperity Second Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to introduce today's speakers. Joining us are Paul Sarvadi, Chairman of the Board and Chief Executive Officer; Richard Rawson, President; and Douglas Sharp, Senior Vice President of Finance, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Douglas Sharp. Mr. Sharp, please go ahead.
Douglas Sharp: Thank you. We appreciate you joining us this morning. Let me begin by outlining our plan for this morning's call. First, I'm going to discuss the details of our second quarter 2017 financial results. Paul will then comment on our strong recent results and our strategic plan for long-term growth and profitability. I will return to provide our financial guidance for the third quarter and an update to the full year 2017 guidance. We will then end the call with a question-and-answer session, where Paul, Richard and I will be available. Now before I begin, I would like to remind you that Mr. Sarvadi, Mr. Rawson or myself may make forward-looking statements during today's call which is subject to risks, uncertainties and assumptions. In addition, some of our discussion may include non-GAAP financial measures. For more detailed discussion of the risks and uncertainties that cause actual results to differ materially from any forward-looking statements and reconciliations of non-GAAP financial measures, please see the Company's public filings, including the Form 8-K filed today which are available on our website. Now let me begin today's call by discussing our strong second quarter results. Adjusted EPS increased 37% over Q2 of 2016 to $0.82 and adjusted EBITDA increased 30% to $33.3 million; both significantly above the high end of our forecasted ranges. Through the first six months of 2017 we're ahead of our initial budget having generated a 19% increase in adjusted EPS over 2016 to $2.65 and $96 million of adjusted EBITDA. As for the details average paid worksite employees increased 10% over Q2 of 2016 as all three drivers to growth produced positive results. Worksite employees paid from new client sales increased 26% over Q2 of 2016 on a 13% increase in the average number of trained business performance advisors and the enrollment of recent mid-market sales. Secondly, client attrition improved 32% from Q2 of 2016 averaging only half of 1% during the quarter. And net gain in our client base which had been week in recent quarters turned positive; this net gain included the typical difficult seasonal summer help along with modest growth of full-time employees at existing clients. In addition to achieving double-digit worksite employee growth we successfully managed gross profit to an increase of 15% over Q2 2016. Our pricing allocations were in-line with budgeted levels while each of our direct costs ended favorably. In particular, our benefit costs which came in higher than budget in Q1 of this year settled back down to our initially budgeted trend in Q2. Additionally, similar to recent quarters our workers' compensation program continued to produce positive results. You may recall that at the beginning of June we announced the receipt of a certified PEO designation from the IRS. A significant component of this designation included the elimination of double taxation of FICA and FUTA when a business contracts with a certified PEO during the year. Due to the timing of the receipt of this designation any favorable impact from the elimination of the double taxation was minimal during the second quarter; however, it will be more significant over the remainder of the year. Second quarter operating expenses were managed to budgeted levels included planned investments in our growth including the increase in the business performance advisors and investments in our technology infrastructure, security and development. These investments were largely offset by operating leverage in other areas of our business to result in only a $1 increase in operating expense for worksite employee per month from $198 in Q2 of 2016 to $199 in Q2 of this year. As a result of our growth in effective management of gross profit and operating costs adjusted EBITDA for worksite employee per month which is our measure of unit profitability increased 19% from $52 in Q2 of 2016 to $62 in Q2 of this year. As for our balance sheet and cash flow we ended the quarter with $48 million of adjusted cash and have $95 million available under our line of credit. We continue to focus on shareholder return having repurchased 211,000 shares of stock at a cost of $16 million and paying $6 million in cash dividends during the second quarter. Now at this time, I'd like to turn the call over to Paul.
Paul Sarvadi: Thank you, Doug. We are pleased to report the strong results in the second quarter and the continuing excellent execution driving our growth and profitability. We have a high level of confidence regarding the strategy we have in place and our ability to capitalize on the tremendous market opportunity in front of us. Based upon our guidance updated today our adjusted EBITDA for 2017 is expected to be approximately $170 million which is more than double over the last three years from $84 million in 2014. Over the same period adjusted EPS is expected to more than triple from $1.43 per share to approximately $4.50 per share. These three years represent the full implementation of our strategic plan which has resulted in this strong performance, however, we believe we are just beginning to demonstrate the potential for long-term growth and profitability from this strategy. Today I'd like to focus on the major elements of this proven strategy which we expect to continue to drive double-digit unit growth, increased gross profit contribution, operating leverage and exceptional financial performance in 2018 and beyond. There are five strategic elements driving our performance in our unique business model. These include clear and concise strategies around growth, products and services, competitive positioning, gross profit contribution and operational excellence. The Insperity growth engine is based upon our wealth of experience and deep understanding of our target market comprised of the best small mid-sized companies in America. Our overarching strategy is to aggregate these best businesses onto a common platform offering services and support to improve both, the likelihood and degree of their success. This laser focus on the customer is at the heart of Insperity's success. Our growth strategy is built around a dedicated team of highly trained and experienced professionals we call business performance advisors that serve in a consultative role to business owners. The three key metrics, the number of BPAs, their sales efficiency selling our flagship workforce optimization co-employment solution and their proficiency selling other traditional employment solutions drive the growth model. The objective of our growth strategy is to produce consistent predictable double-digit unit growth in paid worksite employees in the co-employment relationship and supplement this growth with additional gross profit contribution from traditional employment offerings. In order to achieve this goal the key success factors are the recruiting and training of BPAs and district managers and driving sales activity. Over the last three years we've demonstrated our proficiency growing our BPA channel at double-digit rates resulting in double-digit unit and revenue growth at targeted levels. This core sales team now with approximately 450 BPAs is continuing to meet or exceed sales in sales efficiency objectives which adds to our confidence in continuing the strong growth rate. Another important element of our growth strategy is our marketing effort positioning Insperity as the premium business service in the marketplace targeting qualified prospects through channels, loyalty programs and a robust digital presence is designed to achieve both volume and price objectives. The right volume of high quality leads improve sales efficiency in positioning our offering appropriately supports our premium pricing. Year-to-date our marketing programs have delivered an increase greater than 30% in discovery calls, business profiles and closed business resulting in 53% of our worksite employee sold year-to-date. This demonstrates our capability to drive sales activity and feeds our optimism for the future. Another significant aspect to our growth strategy is our mid-market segment which represents a premium to our growth rate and doubles our addressable market. In years past, accounts that started out small and grew to several hundred or more employees many times were acquired or opted to take HR services in-house. This success penalty resulted in a higher level of volatility and the governor to our growth rate. Over the last several years in this new model we have solved our success penalty by improving our service model retaining more large accounts and developing a capability to sell accounts of this size. With this progress, our likelihood to continue double-digit growth rates from period to period has greatly improved. As an example we expect to see growth acceleration this quarter even though one of our largest clients with over 1,500 employees was recently acquired. Our mid-market success, especially during our critical year-end transition over the last three years has been essential in achieving our recent growth targets. Success in this segment of our business is another reason for confidence in our ability to grow at targeted rates going forward. Our product and service strategy is also proven effective over the last several years. Insperity workforce optimization of our co-employment solution has been the most comprehensive business service in the marketplace for many years. By adding a wide array of business performance solutions in the traditional employment space we have developed a breadth of services to cast a wider net in the marketplace and increase the return on our investment in the BPA channel. The objectives of our product and service strategy are to increase workforce optimization sales, establish a customer for life capability in order to grow our customer base faster and create a mass customization capability to improve retention and maintain our pricing strength. Major catalyst to move this strategy forward at a faster pace is the recent introduction of our traditional employment bundle called workforce administration. Our wide array of business performance solutions are used by our business performance advisors to develop a customized multi-product solution for each prospect they encounter. BPAs are trying to use a bundle-plus approach with either workforce optimization or workforce administration as the core bundle along with additional offerings to meet client needs. This customized multi-product approach in a workforce optimization sale can increase the likelihood of closing by adding cost saving solutions with the core bundle to offset the investment typically required for this premium service. For prospects not ready for the lead all the way to co-employment, workforce administration increases the likelihood of bringing a new customer into the fold with an opportunity to upsell to workforce optimization later. These options also create more flexibility for Insperity to meet client needs throughout the lifecycle of our clients. Our significant improvement in client retention over the last three years including another record this quarter validates this strategy. Our competitive positioning strategy also adds to our confidence in the future. Our breadth of services, depth of services and level of care for our customers has created quite a moat around our business model. These three factors differentiate Insperity in the marketplace as a category one. Our depth of service capability is rooted in our mastery and domain expertise and all things HR. Our services are delivered on an advisory platform from our BPAs in the field designing solutions and our HR experts serving customers daily to our professionals at our corporate headquarters managing employment costs and navigating the troubled waters of regulatory compliance. We've demonstrated a unique capability over the years to also manage employment costs from payroll taxes and workers' compensation to employee benefits and other employer liabilities. This depth of expertise delivers on our strategic objective to bring group buying power to the small or medium-sized business, marketplace along with the advantage of stable cost. This expertise also provides the opportunity for Insperity to earn a fee for managing these employer costs which contributes to our gross profit. In addition, our traditional employment solutions represent a third contributor at the gross profit line in our model which has helped to fend off competitive pricing pressure in the marketplace. Further evidence of our depth of service capability is in our technology team delivering on our software with a service objective. Our announcement today of Insperity Premier is another milestone providing a true HCM experience within our co-employment workforce optimization solution. We believe Insperity Premier is a game changer by adding new features and functionality expanding and customizing client specific data collection and reporting, integrating products into modules and delivering a more HCM like user-interface. This platform is specifically designed for our deep integrated relationship with our clients, including new co-browsing and click-to-chat capabilities allowing our HR professionals to work even more closely with supervisors and managers at client locations in real-time. The rollout of this upgrade is in process and will continue for the balance of the year, it's too early to accurately predict the benefit of this new platform on sales retention or cost reduction; however, early anecdotal evidence is very promising. Insperity Premier is a perfect example of how technology can combine with service professionals to increase the level of care and improve the customer experience. This level of care has distinguished Insperity in the marketplace for many years and is the hardest for competitors to replicate. The true measure of operational excellence over the past several years is evident in the level of care we've provided clients while at the same time delivering operating leverage through efficiency gain. Our key metric in this area is the number of worksite employees served per service provider which has increased from 200:1 to 265:1 over this period. Our customer for life [ph] and software with service strategies have proven successful at achieving these results and our improvement in client retention is validation of excellent execution in this area. In summary, our strategic plan is in place with more ways than ever to achieve desired results and we are optimistic about our ability to continue to deliver outstanding operating results and exceptional returns to our shareholders. As a result of executing this strategic plan over the last three and a half years we've returned over $400 million to investors; $290 million in share repurchases and an additional $123 million in dividends demonstrating our ongoing commitment to exceptional shareholder returns. At this time, I'd like to pass the call back to Doug.
Douglas Sharp: Thanks, Paul. Now before we open up the call for questions, I'd like to provide our financial guidance for the third quarter and update to our full year 2017 forecast which is substantially higher than our initial guidance. We continue to forecast full year growth of average paid worksite employees in a range of 11% to 12%. We are forecasting Q3 worksite employee growth in a range of 11% to 11.5%. This is an acceleration off of Q2 growth of 10% when considering improved sales associated with the increase in the number of business performance advisors, partially offset by the loss of the large mid-market client in July. As for our gross profit area we have incorporated recent pricing in direct cost trends in our updated guidance. We have also considered some benefit in the payroll tax area associated with the elimination of double taxation of FICA and FUTA resulting from our recent PEO Certification under the Small Business Efficiency Act. The combination of this benefit partially offset by the loss of the large mid-market client should contribute approximately $2 million of additional gross profit over the second half of the year. As for operating expenses, these costs continue to track our budgeted plan. So we're combining our better than expected results for the first half of 2017 with our outlook over the remainder of the year. We are increasing our forecast of adjusted EBITDA to a range of $169 million to $173 million, a 20% to 23% increase over 2016. As for Q3 we are forecasting adjusted EBITDA of $37.5 million to $39.5 million, a 20% to 26% increase over 2016. We're now forecasting full year 2017 adjusted EPS of $4.47 to $4.60, a 25% to 28% over 2016. This is an improvement over our initial guidance in which we were forecasting a 17% to 23% increase over the prior year. Q3 adjusted EPS is projected in a range of $0.94 to $1, an increase of 20% to 28% over Q3 of the prior year. In conclusion, we are pleased with the strong top and bottom line growth trends in our business and we look forward to updating you on our progress over the remainder of the year. Now at this time, I'd like to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tobey Sommer from SunTrust. Please go ahead.
Tobey Sommer: Thanks. I was wondering if you could quantify the benefit from the lower taxes associated with the IRS change, just on an annual basis maybe. And then what do you think it does in terms of growth or kind of presenting the concept in the sale to new small business customers? Thanks.
Paul Sarvadi: Thanks, Tobey. I'll handle the second part of that and I'll let Doug handle the quantification of it for you. But in terms of how it can affect us going forward, it's very positive for us I believe because of two things; one, we've always had to explain this unique aspect to the pricing and billing with our clients and it's just another aspect of complexity that makes it harder to sell. So with that out of the way, again anytime you can make it simpler and not have to address another complexity, that's good for sales. The other thing is, if we're able to even things out in terms of -- there was distance to coming on late in the year from a prospect because of that double taxation that we used to have; that has always been something we had to overcome. So we're hopeful that it also kind of even things out, as -- there is really no reason to delay and when customers are ready that's when you want to bring them on.
Douglas Sharp: So on the second part of your question, we made the decision to adopt the certification, prospectively we received it on June 1 and just moving forward from there. If you look at the first quarter, you get very little benefit in the first quarter because a lot of the worksite employees haven't yet hit those limits, so most of the benefit is in the second half of the year anyway. If you look at -- roughly speaking, we expect the benefit of a little less than $3 million in total this year on the impact of the certification I've just spoke about. This year on force [ph] we're going to have some offset with the loss of that large client through their acquisition by another company. And it's a rough number because there are some flexibility there that we want to provide ourselves and how we price certain clients and how we utilize that benefit going forward.
Paul Sarvadi: I think the last part of it is, you got to think about it in terms of the growth and the faster that we grow the more the benefit is; so that will be something to think about going forward.
Tobey Sommer: Right. Does it also somehow even out the seasonality of profitability in the quarters at all or anything in terms of your ability to forecast and manage the business sort of somehow made easier?
Paul Sarvadi: I wouldn't say that. I think the -- first of all, of course payroll taxes are still front-end loaded in the beginning of the year and you also have deductibles and co-insurance as a sector on the benefits, so you're still going to have some seasonality to the earnings in the model but it is nice to have that out of the way, and we do think it's very positive for the company.
Tobey Sommer: Okay. And then from a general standpoint, Paul how do you see the -- sort of the EBITDA or cash flow growth if you're able to sustain the double-digit kind of core works that employee growth and supplement gross profit growth with other sales? Thanks.
Paul Sarvadi: You bet. You know, that's -- the model is designed for us to grow double-digit unit growth, you've got pretty good leverage in the operating expense side of the business, we talk about typically about a 50-50 ratio between fixed and variable expenses. And then of course, where -- managing the gross profit part is, you can see we've been really consistent over the past several years and I think we really have our arms around that nicely, and -- so you do have a little bit of movement up and down in that number but the strategy of having a wide array of business performance solutions to feed in at that gross profit line has really been favorable and in terms of at least maintaining that gross profit number and has potential to even add to that as the time goes on. So you should -- generally speaking, see -- adjusted EBITDA growth -- if we're in the low double-digits, 10%, 11%, 12% on units, you're going to be between the 15% and 20% at least at the adjusted EBITDA line and I think a lot of times well above that. You can see over the last few years we've been well and 25%, 30% even adjusted EBITDA growth.
Operator: Your next question comes from the line of Jim MacDonald from First Analysis. Please go ahead.
Jim MacDonald: Good morning, guys. I wanted to dive into the mid-market, I think you said last quarter that some mid-market starts pushed of September quarter but I think in your prepared remarks you said you had some good mid-market starts this quarter; so I'm trying to figure out that other new business or/and what happened to that -- are we still expecting some of those larger clients this quarter?
Douglas Sharp: Yes, we did. We've rolled some in -- some rolled in late last quarter and some rolled in July, those are the ones we were referring to. But the thing that happened during that period that -- that was more of a surprise, it was the large customer being acquired; so -- but it's -- you know, that's the whole idea of having this pipeline for mid-market business so that used to really put a knot on our head if we had a big customer like that go away. But with the other ones come in, we're able to kind of weather that with no problem and continued forecast of our worksite employee growth for the year on budget.
Jim MacDonald: And moving to the benefit side, it was good news that it came back to expectations; any color around that? And then also any thoughts about what this regulation legislation emphasis and Washington is doing or will do for your business?
Douglas Sharp: Well Jim, I don't know which of those two hard questions are the easiest to answer. Now actually the first one, we did obviously see the experience in our health plan kind of trimmed back to where it normally we were expecting it to be and when we look at our annual trend for benefits from one year to the next, we are always really, really close when we look at the total year-over-year; that you obviously do have a little noise between the quarters but that's just the nature of that of situation. So this year we're seeing the low 2% range for the year and that's still in-line with where we were when we started 2017. So in the last couple of months of the second quarter we actually saw the trend go back into where we were expecting it to be from the beginning of the year. I think on the second question about the regulatory environment and Affordable Care Act and what's going to happen there; the logic here is that if the exchanges or people leave the exchanges, the employment -- the employer marketplace that was feeding him and I haven't employees to go to that exchange they're going to be wanting to look to find solutions to provide quality benefits in the tight labor market that we seem to be and. Being able to offer a benefits plan that is competitive in the marketplace is really important and so we don't see anything negative at this point coming out of what Washington may do, we see it more positive than that.
Jim MacDonald: Great, thanks.
Operator: Your next question comes from the line of Mark Marcon from RW Baird. Please go ahead.
Mark Marcon: Good morning and congratulations on the strong results. I was wondering if you could talk a little bit about the expectations for the gross profit per worksite employee for the balance of the year and how you think that's going to trend longer-term, particularly with the introduction of some of the new solutions?
Douglas Sharp: Yes, I would say that -- I mean, obviously we don't give gross profit metrics guidance anymore but…
Mark Marcon: But directionally.
Douglas Sharp: Yes, directionally we see it kind of where the range that it's been in, looks like it maybe up a $1 or so for the year over 2016. And as going forward, obviously, as Paul talked about our workforce administration contribution; in the going forward scenario, longer term, we see that continuing to increase as receptivity of customers wanting to look at different options of our total package so it's more positive than negative. So Mark, I would say this is directional in the longer term. When we first came out with that strategy, with the -- where we saw that contribution coming at the gross profit line, we talked about it either adding to gross profit or offsetting several years and any price that we would have in the marketplace. And so I would say in the first three years this has been in place we did have some pricing pressure, some of it also was mix change in our business with mid-market growth and other things where you have different gross profit contribution levels but all things end there. We were able to offset any reduction whether it's from mix change or otherwise, and I believe as we ramp up further on these solutions and that contribution becomes more significant, we could see that start to fulfill the other object which is to really add to that gross profit for worksite employee numbers. So gradually but it's nice to have that gross profit contribution, that's not insurance related.
Mark Marcon: That's great. And then with regards to the fall selling season and as you prepare for that, you've got 450 trained BPAs; where do you anticipate that number being towards the end of the year? And how much of an incremental contribution should we potentially end up seeing from Insperity Premier because it does sound like it's a really interesting solution. So I'm just trying to think about what the mix of the sales efforts are going to be and how that impacts efficiency?
Paul Sarvadi: Thank you. Yes, we're very excited about going into this fall season. We really kind of have three campaigns a year now internally in the sales organization and both the first two have gone really well this this year and we've been continuing to ramp up the number of BPAs, the training has really continued to be effective, our manager training also has just been excellent, we've been able to really support our district managers which are so keen in the field to managing both, the activity and getting the desired results. So as we go into the fall we do have Insperity Premier now to really be able to demo to customers and we have found that in that process this is just some of the early returns if you will because this has only been going on for about a month or so but demo-ing the new technology has really been a nice boost in the process, it definitely builds on the energy of the process which is very important because it's a pretty elaborate process to become a customer and you need every step along the way, it needs to build momentum, not detract from it. So we think that's going to have a nice effect this fall and it's really all systems go we should end up around -- I think around 475 or so towards the latter part of the year; and we'll be in great shape as we go into '18.
Mark Marcon: Great. And any regions or verticals that you're seeing particularly strengthened?
Paul Sarvadi: No. You know, our strategy obviously is across the categories. We try to -- our strategy is more of a psychographic profile of the best small and mid-sized companies in a given area; and so we're continuing to target those. It's good that the economy is doing pretty good, if we get tax reform I think you really would see a lot happen in the small mid-sized business community.
Operator: [Operator Instructions] Your next question comes from the line of Michael Baker from Raymond James. Please go ahead.
Michael Baker: Yes, thanks a lot. Richard, I was wondering if you could give us a sense for what the uptake rate is for health benefits and how that compares to last year?
Richard Rawson: Yes, actually you know, we look -- when we look at the total number of worksite employees that are covered under our plan, it's about the same as it was last year; it's in the -- right at 70% of the eligible employees in our plan. And the ones that -- we actually have started to see in the last couple of months a little bit of uptake in terms of not just the employees but more families; and so -- that's -- you know, it's not that big of a deal but it is a little bit of a change to the positive there.
Paul Sarvadi: So just for clarification, 70% of total employees which is much higher percentage.
Richard Rawson: Right. It's the -- I said eligible, I meant to say total employees, yes. were in the -- we're in about 92% of eligible employees.
Michael Baker: That's helpful. And then I'll pause, wondering if you've seen the industry become more vocal with the benefit of PEO in -- at least, addressing part of the healthcare challenge?
Paul Sarvadi: Yes, we have been involved in Washington as healthcare reform or repeal/replace all the dialogue it's going on; and we definitely see some recognition and I think this is another benefit of passing a law couple of years ago, the Small Business Efficiency Act, it kind of gets us to seat at the table, there were some issues brought up around association plans and other group buying mechanisms and we were able to kind of raise their hand and say, 'hey, we should be in that discussion and we're welcomed in for that type of dialogue'. So we're at the table and that's a good thing for us.
Michael Baker: Thanks. And then finally, Doug, I was wondering if you could just give us a little bit of color around the work; it sounds like there might have been a worker's comp benefit and how that shaped up relative to your expectations?
Douglas Sharp: Yes, I mean I think it's generally running along expectations as it has been in recent quarters. And so we continue to do a good job I believe in managing our clients with our safety personnel etcetera; and so fairly similar results, a little bit lower, a little bit more favorable but generally in-line with recent results.
Paul Sarvadi: And just as a reminder, when we start every year we have a more conservative view of how those claims will run out and then we go try to earn that benefit as the year progresses and so this is pretty typical year in that respect.
Douglas Sharp: And remember, our year for workers comp is in October 1 through September 30; so as we look we'll be coming into the fourth quarter by the time we report next which will be a full year on the comps. So we'll be making the potentially more adjustments as it relates to how the claims turnout over the year.
Operator: As there are no further questions in the queue, I'd like to turn the call back over to Mr. Sarvadi. Please go ahead.
Paul Sarvadi: Once again, thank you for joining us today. We appreciate your interest in Insperity and we hope to see you out on the road soon. Thank you.
Operator: This concludes today's conference call. You may now disconnect.